Operator: Good afternoon and welcome to Getty Images' Fourth Quarter and Full Year 2023 Earnings Conference Call. Today's call is being recorded. We have allocated one hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Steven Kanner Vice President of Investor Relations and Treasury at Getty Images. Thank you. You may begin.
Steven Kanner: Good afternoon and welcome to the Getty Images' fourth quarter and full year 2023 earnings call. Joining me on today's call are Craig Peters, Chief Executive Officer; and Jen Leyden, Chief Financial Officer. Before we begin, we would like to remind you that this call will include forward-looking statements within the meaning of the Private Securities Reform Act of 1995. These statements are subject to various risks, uncertainties, and assumptions, which could cause our actual results to differ materially from these statements. These risks, uncertainties, and assumptions are highlighted in the forward-looking statements section of today's press release and in our filings with the SEC. Links to these filings in today's press release can be found on our Investor Relations website at investors.gettyimages.com. During our call today, we will also reference certain non-GAAP financial information, including adjusted EBITDA, adjusted EBITDA margin, adjusted EBITDA less CapEx, and free cash flow. We use non-GAAP measures in some of our financial discussions as we believe they represent our operational performance and underlying results of our business. Reconciliations of GAAP to non-GAAP measures as well as the description, limitations, and rationale for using each measure can be found in our filings with the SEC. After our prepared remarks, we'll open the call for your questions. With that I will hand the call over to our Chief Executive Officer, Craig Peters.
Craig Peters: Thanks Steven and thanks to everyone for joining Getty Images' fourth quarter and full year 2023 earnings call. I'll start by addressing the full year business performance and progress before Jen takes you through the fourth quarter financial results and 2024 outlook. Throughout 2023, we experienced a series of challenges across our business landscape. In Europe across our agency customers and within certain technology sectors, we observe a cautious approach in customer spending given prevailing macroeconomic conditions. Additionally, starting in the second quarter, the writers and actors strike significantly impacted our media and entertainment segments. The strengthening of the U.S. dollar relative to foreign currencies also negatively impacted our EBITDA as we have a significant share of revenue outside the U.S. with a smaller cost base in these currencies. These challenges were not unique to us and despite their impacts, Getty Images remained relatively resilient as we adapted to mitigate the impact. For the full year 2023 revenue was $916.6 million, representing a year-on-year decrease of 1% reported and down 0.5% on a currency neutral basis. Consistent with our history and our culture, the company adopted prudent cost measures without sacrificing our investment in the long-term. As a result adjusted EBITDA came in at just over $301.4 million for the full year, down 1.2% reported and down 0.4% on a currency neutral basis, holding steady at 32.9% of revenue. Despite a tough climate and results below the expectations we had going into 2023, the Getty Images team continued to lay a strong foundation grounded in our core value propositions of helping our customers create at a higher level, saving our customers time and money and eliminating risk. That foundation starts with our exclusive content. It is one of the key differentiators for Getty Images. Content from over 80,000 creators and 300 partners represented exclusively by Getty Images. This translates to unique events, access, and rights rates. It translates to an unmatched archive and truly distinct quality. It translates to iStock being the only meaningful mid-tier provider to offer an exclusive elevated quality level through its signature collection of more than $31 million assets. In a long-standing world of seemingly infinite supply of visual content, Getty Images has always put a part on quality and that is reflected by approximately two-thirds of our revenue being generated by content that customers can simply not get anywhere, a statistic that has been durable over time. We successfully renewed each and every content partnership up for renewal within the year. This includes multiyear renewals with Parismatch, Anadolu, Sky News, Sony Pictures and dpa Picture-Alliance. We also added new content and rights to partnerships with the US Soccer Federation and College Football Playoff to name just a couple. Through our staff, our partners and our contributors, we produced award winning extensive editorial coverage across the globe, representing more than 160,000 events in over 170 countries. Events such as the conflicts in Ukraine in Gaza plus Israel, earthquakes, storms, the US-Mexico border, All Things Taylor Swift, Beyoncé’s Renaissance World Tour, the Women's World Cup, the PGA Tour, Formula One, the Rugby World Cup, Sundance Film Festival, and the Met Gala, I could go on. We mind our archives in support of few important stories. Stories such as the Coronation of King Charles, III, the 60th anniversary of the March on Washington, images celebrating the alliance of Tina Turner, Matthew Perry and Harry Belafonte, and the all-important buildup to the Paris 2024 Olympic and Paralympic Games. We conducted and conveyed deep research on societal and visible trends enabling our customers to more effectively and deeply engaged the targeted audiences across the globe. Research around women in sport for sustainability, customer sentiment around AI, mental health, ages, social media and the global cost-of-living crisis. We introduced natural language search on the Getty Images and attack websites enabling our customers to more deeply search our content more efficiently find the content to meet their needs. We continue to invest in the growth of on Splash stock, our premium subscription offering on Splash, adding exclusive content, new languages and new features. These efforts are why we maintained our paid downloads at 95 million despite a challenging macro environment. They are why we are able to increase customer commitment in the face of a challenging environment with total annual subscribers increasing to 236,000, up from 129,000 to start the year, and subscription as a percentage of total revenue reaching an all-time high of 53.2%. While still early days with respect to adoption and contribution to our business performance, I'd be remiss if I would not be in earnings call where I didn't mention AI. In partnership with NVIDIA, we announced and launched a truly unique generative image offering, an offering that is trained on licensed and released data and rewards content creators for the training, and offering that respects third-party intellectual property rights and a social and responsible and that it cannot produce deepfakes, an offering that is commercially safe and indemnified, an offering that produces high-quality outlets. We launched Getty Images and VA-API in Q4, a nice stock in January of this year. Of course, with all things AI, the pace of innovation is break-neck. In recent weeks, we have already introduced expanded controls and capabilities such as in-panning and out-panning. We'll be releasing a newly trained model soon and we will also enable AI capabilities across our entire pre-shop creative library. We also have big plans for video and partnership with NVIDIA and Runway, which we expect to launch later this year aligned to the commercial needs of our customers. While we continue to face macro challenges, as always we remain focused on delivering real value to our customers and long-term returns to our shareholders. At the core of Getty Images is high-quality content and coverage that is derived from top-notch talent, exclusive access, extensive research and rare expertise. We pair this with world-class customer service across committed and long-standing relationships and the delivery of technology that truly enhances the creativity, productivity and efficiency of our customers without risks. With our solid foundation and clear vision and focus, we're excited to return to growth in 2024. Thank you, and now turning the call over to Jen to take you through more detailed financials.
Jen Leyden: As Craig mentioned our performance in the fourth quarter and for the full year of 2023 reflected the impacts of the various challenges we face, but also the proactive actions taken by the company to protect its bottom line and position us for a return to top-line growth in 2024. I'll start by touching on some of our KPIs and I'll note that today's press release contains information on all seven of our KPIs which are reported on the trailing 12 month basis or LTM period ended December 31, 2023 with comparisons to the LTM period ended December 31, 2022. Total purchasing customers were 799,000 down from 835,000 in the comparable LTM period. This decrease is tied to both our continued shift into subscription products and the continued contraction in our agency business where customers consume nearly entirely on an a la carte or transactional basis. The continued shift into subscription, while driving the volume of purchasers down has more importantly driven an increase in annual revenue for purchasing customers up from 1109 to 1147 for the LTM period. Active annual subscribers grew 83% year-on-year to 236,000, up from 129,000 in 2022, driven primarily by growth of our subscription including our iStock Annual and Unsplash Plus subscription. This represents the 5th consecutive quarter with growth well in excess of 50%. While that growth rate is a strong metric on its own, the drivers of the growth largely new customers and customers in our growth markets as well as in our core markets is even more compelling for us. In fact, of the 236,000 annual subscribers in the LTM period, 62% were brand new customers to Getty Images and 38% were customers in our growth markets across LatAm, APAC and EMEA. We are expanding our reach. Our annual subscriber revenue retention rate was 92. 4%, down from 100.1% in the 2022 LTM period due in large part to those lower revenue retention rates on some of our smaller e-commerce subscribers as we'd expect and also a reduction in incremental a la carte revenue from annual subscribers. Paid download volume was flat at $95 million and as Craig noted that is a very strong outcome given the myriad of macroeconomic challenges we navigated through. Our video attachment rate remained in growth rising to 14.1% from 13.1% in Q4 2022 with plenty of room for continued expansion. Turning to our financial performance. As we expected, this quarter's results were impacted by macroeconomic pressures, impacts from the two Hollywood strikes and continued pressure on our agency business. However, both revenue and adjusted EBITDA exceeded the upper end of our guidance range. As we exited the year, we saw strengthening across our corporate sector, a slight improvement in agency and FX which had been a challenge for most of the year provided a benefit in the quarter. Total revenue in the Q4 was $225.9 million down 2. 4% on a reported basis and 4% on a currency neutral basis. Included in these results are certain impacts of the timing of revenue recognition which contributed approximately 130 basis points of year-on-year revenue growth in the quarter. Our annual subscription revenue made up 54.5% of total revenue in the fourth quarter, up from 50.2% in Q4 of 2022 and it was 53.2% of total revenue for all of 2023. In total, subscription revenue increased 6% on a reported basis and 4.4% on a currency neutral basis, driven by gains across our premium access and e commerce offerings. While the mix of annual subscription revenue has been above 50% for the past five quarters, we still have opportunity to drive the mix higher. Creative which includes skills and video content for commercial use and accounts for approximately two-thirds of our total revenue was $145.8 million, up 0. 5% on a reported basis and down 1% on a currency neutral basis. If you were to exclude our more challenged agency business, which sits entirely in creative, on a pro form a basis, creative revenue was in growth on both a reported and currency-neutral basis, which highlights the underlying health of our corporate customer segment. Within Creative, continued strength in our annual subscription, up 13.1% or 11.6% on a currency-neutral basis, led by our premium access subscription, the largest of our subscription offerings. Our e-commerce business continued to see growth in our iStock annual subscriptions, which grew by 16% on a reported basis and 14.4% currency-neutral, marking the 10th consecutive quarter with double-digit growth. In addition, our Unsplash subscription, one of our newest offerings delivered strong double-digit growth. Where we continue to see pressure within our ala carte offering, which were pressured due to three factors, a mid-single-digit decline in our agency business, the impact of the Hollywood strike that left production houses dormant and a customer shift towards more committed products, driving lower ala carte purchases for growth in higher ARPU subscriptions. Editorial, which is one-third of our total revenue, includes our coverage of global news, sports and entertainment events, as well as our extensive archive collection of historic images and videos, finished the quarter at $75.7 million, a decrease of 7.9% year-on-year and 9.5% on a currency neutral basis. Our archive and entertainment verticals were negatively impacted by the slowdown related to the Hollywood strike. While sport and news were also again challenging 2022 compares, including our coverage of the 2022 FIFA World Cup and the 2022 US midterm elections. Across our major geographies on a currency-neutral basis, we saw a year-on-year decrease of 5.2% in the Americas, 1.8% in EMEA and 4.4% in APAC. Revenue less our cost of revenues as a percentage of revenue remained consistent and strong at 72.3% in Q4 compared with 72.4% in Q4 of 2022. Total SG&A expense was $101.6 million in Q4, up $6.3 million year-on-year, with our expense rate increasing to 45% of revenue, up from 41.2% last year. The higher year-on-year expense was due primarily to $10.5 million of stock-based comp related to the vesting of employee equity awards compared with $3.4 million of equity-based comp in Q4 of 2022. For the full year, SG&A increased by $26.9 million to 43.9% of revenue, up from 40.5% last year, also driven by the increase in stock-based compensation. Excluding stock-based compensation, SG&A decreased year-on-year 0.9% to $91.1 million in the quarter. The lower spend is the result of our deliberate cost management actions executed early in the year. As a percentage of revenue, SG&A, excluding stock-based comp, was 40.3% of revenue, up just slightly from 39.7% of revenue in the prior year due primarily to the decrease in revenue. For the full year, adjusted SG&A decreased 0.4% to $364.9 million or 39.8% of revenue compared to 39.5% of revenue in the prior year. Adjusted EBITDA was $72.2 million for the quarter, down 4.5% year-over-year and 6.5% on a currency neutral basis. Our adjusted EBITDA margin was 31.9%, down from 32.6% in Q4 2022. For 2023, adjusted EBITDA was $301.4 million, down 1.2% reported and 0.4% on a currency-neutral basis. Our adjusted EBITDA margin was 32.9%, unchanged from the prior year, demonstrating the continued resiliency of our financial model. CapEx was $15.1 million in Q4, up $1.9 million year-over-year. CapEx as a percentage of revenue was 6.7% compared to 5.7% in the prior year period. For the full year, CapEx was $57 million or 6.2% of revenue, down from $59.3 million or 6.4% of revenue in 2022. CapEx continues to be within our expected range of 5% to 7% of revenue. Adjusted EBITDA less CapEx was $57 million, down $5.3 million year-over-year, representing a decrease of 8.5% or 10.3% on a currency-neutral basis. Adjusted EBITDA less CapEx margin was 25.2% in Q4 compared to 26.9% in Q4 of 2022. For the full year, adjusted EBITDA less CapEx was $244.4 million, a decrease of 0.5% reported and an increase of 0.7% currency neutral. Free cash flow was $18.6 million in Q4 compared to $20.6 million in Q4 of 2022. The decline in free cash flow was largely driven by lower EBITDA and working capital adjustments related to timing. Free cash flow is stated net of cash interest expense of $24.2 million and cash taxes paid of $8.9 million in the fourth quarter. For the full year, we generated $75.7 million in free cash flow compared to $103.8 million in 2022. With that full year decrease primarily being a result of the increase in interest expense related to the rise in interest rates, and also driven by higher litigation related expense. We finished the quarter with $136.6 million of balance sheet cash, up $23.1 million from the third quarter and up $38.7 million from Q4 of 2022. Despite the tough climate, this business continues to generate healthy cash flow, continues to pay down debt and we finished the year with higher cash balances and expanded liquidity. As of December 31, we had total debt outstanding of $1.4 billion, including $300 million of 9.75% senior notes, $637 million of USD term loan with an applicable interest rate of 9.95%, $463.6 million of the euro term loan converted using exchange rates as of December 31, 2023 with an applicable rate of 8.875%. We also have a $150 million revolver that remains undrawn. For the full year, we applied $50.4 million towards debt paydown, including a voluntary $2.6 million repayment in the fourth quarter. We ended the quarter with a net leverage of 4.2 times, down from 4.4 times at year end 2022. In early February, we opportunistically exclude a debt refinancing with the primary goal of meaningfully reducing our interest expense and extending our term loan maturities. As we analyze the opportunity with our advisers, we ultimately decided against proceedings as the interest expense savings were not as meaningful as we desired. We would like to thank those in the lender community that spent time with us during this process. We will remain disciplined and we continue to look for the optimal opportunity and market conditions to refinance our debt. In the meantime, we will continue to deploy our capital to what we believe is the highest and best use with a continued focus on reducing our leverage. Management remains laser-focused on execution. As of December 1, 2023, taking into consideration, foreign exchange rates and applicable interest rates on our debt balance at that time and the effect of $355 million of interest rate swap agreements, which matured in February, our annualized estimated cash interest expense is $134 million. That said, our actual annual interest expense remains subject to changes in the interest rate environment, which we outline in more detail within our SEC filings. So, we finished 2023 having delivered meaningful subscriber growth. We continued to pay down our debt. We expanded our AI generative offerings, and we nimbly navigated through several unexpected macro challenges. All throughout, we remained fiscally disciplined. We've generated healthy levels of free cash flow, and we ended the year with a stronger balance sheet, and we are very well positioned to return to top line growth as we head into 2024. With that, let's shift into our 2024 guidance. We anticipate revenue of $928 million to $947 million, representing growth of 1.3% to 3.3% year-on-year and currency-neutral growth of 1% to 3%. Assuming current FX rates hold with the euro above 1.09 and the GDP above 1.27, we expect foreign currency to have a more muted impact on our financial results relative to what we experienced in 2023. For revenue, we estimate a benefit of about $2.5 million for the year, of which approximately $2 million is expected in the fourth quarter. We expect adjusted EBITDA of $298 million, down 1.5% year-over-year and down 1.2% currency neutral. Included in the adjusted EBITDA expectation is a similar cadence for FX, with an approximate estimated $1 million benefit in 2024 with almost all of it expected in the fourth quarter. With that, operator, please open the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Ron Josey with Citi. Please proceed with your question.
Unidentified Analyst: Hey, team, this is Jake on for Ron. Thanks for taking my questions. Craig, really great to hear about the Gen AI product rollouts on both Getty and iStock. I know last quarter, you shared that it had -- it would have -- or you expected to have limited impact?
Operator: Hello? Hello? Jennifer and Craig, are you online? Craig is on.
Jen Leyden : Yes, I'm here. I think we might have lost Jake.
Unidentified Analyst: Sorry. Can you hear me?
Jen Leyden : We can now. Head out pretty early into your questions if you don't mind just repeating them all again.
Unidentified Analyst: Sorry about that. Well, the first question was just on Gen AI. Last quarter, you shared that you'd expect financials, but now you've been live for a few months -- any more visibility you could share in terms of expectations, or contributions for this year? And then the second question was just on corporate. You noted some continued macro challenges. But we look at the resilience and the revenue per purchasing customer. And I'm curious if you could share more about what you're seeing from the corporates. Any specific verticals doing well or still showing signs of conservatism?
Steven Kanner : Craig?
Craig Peters : Okay. Happy to take both of those. On the Gen AI front, I'd say that the expectations for contribution on a material basis are still going to still be much longer-term in terms of that growth. We've taken a point of view of, again, really building the products, getting them to market and doing that in a subscription model. So it's going to take time for that adoption to accrue to something that's meaningful to the business. But with that said, I'd say that we are definitely having a lot of conversations on the sales front. We're getting really good feedback on the use of the product and where we are seeing adoption of the product, it's positive and aligned to kind of our expectations. So -- but I wouldn't expect significant contributions into this year, that will have a meaningful material impact on our performance around the guidance stated. With respect to Corporate, we've -- it's been a growth segment for this business for a long time. And we saw that a little bit choppier in 2023, due to the macroeconomic items that we related. I think I specifically called out the Technology Segment -- Sub-Segment within that as kind of some of the areas that were a bit more, choppy than maybe what we had experienced in prior years. But we expect that segment to continue to grow for us in 2024. It still continues to be one where Internal Marketing groups are bringing their sales and marketing in-house in order to manage across their websites, their social media presence, their sales and marketing collateral and that continues to be the driver behind that. So, a little bit choppier in 2023. We will expect to see a little bit of choppiness in 2024. But again, the Corporate Segment should be wide growth.
Unidentified Analyst: Thanks so much.
Operator: Thank you. Our next question comes from the line of Cory Carpenter with JPMorgan. Please proceed with your question.
Cory Carpenter: Hey thanks. I just wanted to ask about the Agency business. As you mentioned, it improved a little down mid-single digits. Maybe if you could just talk about, your expectations for how that will trend in 2024? And then Jennifer, for you, just maybe within your 2024 revenue guide, anything are you willing to provide around Creative versus Editorial and what we should expect given the even year seasonality? Thank you.
Craig Peters: Jen, why don't you take both of those?
Jen Leyden: Yeah. Happy to. So I'll start backwards on guidance. So as you know, we don't guide specifically to Editorial or Creative, but we are heading into an even year. Normally, that would come with an expectation of a level of growth. However, this year will look a little bit different and what we would normally expect to see in terms of that even impact will be a bit muted. And the reasons for that, obviously we're still seeing some lingering impacts from the strike. And certainly as we navigate through Q1, likely to see a bit of that as we navigate through Q2. So we're still dealing with a bit of impact from that. And then, the flip side of that is that we think about 2023, the first half of 2023 was actually in growth for Editorial. So we've got that in our comp that we're navigating through, growth versus still navigating through some of the strike impacts in each one. We definitely do expect to see you know some of that revenue. We've got Olympics. We've got a US Presidential Election. We've got euros. We did have a bit of revenue event revenue in 2023. So we expect to see that bump. But again, that strike impact will mute that a bit for us relative to what we'd normally expect to see. And obviously, when it comes to something with a US Presidential Election, it's hard for us to size that with precision, until we get a bit deeper into what all of it is going to look like. So in a little bit of color of how Editorial is playing into that top line and come back in a little bit of what that might mean for Creative. On the Agency side, so I don't think we're necessarily expecting a big reversal or Agency to shift into growth right away in 2024. What we commented on in the prepared remarks is that we saw a bit of an improvement. And I think specifically, I used the word slight, so that that's coming off of pretty steady double-digit declines on Agencies and are ending the year exiting the year in that in a mid single-digit decline. So I don't think we're expecting a massive turnaround that as we've spoken about earnings calls before, is largely a macro impact, right? So as customers are holding tight onto their Creative and marketing budget that flows through the agencies, that flows through to us. So we're cautious on that one. Again, we don't expect that to turnaround, but it is well under 20% of our total revenue at this point, as we exited 2023.
Cory Carpenter: Great, thank you Jennifer.
Jen Leyden: You're welcome.
Operator: Thank you. Our next question comes from Mark Zgutowicz with The Benchmark Company. Please proceed with your question.
Mark Zgutowicz: Thank you. Good evening, Craig and Jen. Jen, a couple of quick questions for you if I could. I was just hoping to get some visibility and creative revenue retention expectations this year ex agency. And I was also hoping you can maybe comment on churn ex agency. And then the second question is just around the EBITDA guidance. Just curious, what are the expense assumptions there just giving us roughly $20 million delta relative to your top line guidance? Any color there would be helpful. Thanks.
Jen Leyden: Mark, would you mind repeating the second question? I didn't quite hear that.
Mark Zgutowicz: Sorry. Second question is, if you could just talk about the expense assumptions within your '24 adjusted EBITDA guidance just...
Jen Leyden: Yes, the agency I'd only mention, I heard that...
Mark Zgutowicz: Sorry, sorry, sorry, I was looking at -- just looking for that to your comment on churn ex agency.
Jen Leyden: Right. Okay. And so I'll start with EBITDA. So yes, I think what you're seeing there in our EBITDA guidance, we've talked quite a bit about how we employ some proactive cost action pretty early on in 2023. So, as we enter into 2024, you're seeing a little bit of a reset on our cost base. We're certainly not pulling back on all of that cost management. There is certain element of the cost pullbacks that we made in 2023 that we've reset entering into 2024. And that's really just to set ourselves up to get back to top line growth. There are elements of employee incentive based compensation that as you can imagine are tied to the Company's financial performance. So as we reset into 2024 at the start of any year, we'd have within our cost base and expectation of that incentive based comp coming back because there's an expectation of the Company hitting its financial performance. So it's really just a bit of a reset. Again, not a full relieving of all of those cost actions, but we did go into 2024 pretty deliberately making sure we're investing in growth and setting ourselves up to get that growth. The question on revenue retention and churn, so we don't we don't really give a revenue retention figure or stat on creative versus editorial. I think the way that I would answer that question and I'm assuming you're talking a little bit more about the subscriber base, but we continue to see. When we think about our large enterprise customers, we continue to see those retention rates pretty much at 100%, right. To the enterprise side of things, we continue to see that figure being really strong as we start to grow that subscriber base. And we talked about a lot of that growth is coming from the smaller e-commerce and subscription side of things. Those obviously come at least at the start with a lighter revenue retention rate. So you'll see that pull down a bit and you know from something like 100% on the enterprise side of it and those smaller e-commerce subscriptions, those all do fit on the creative side of the business. So, not sure of that that answers those questions but we don't we don't really give a creator versus editorial retention or churn elements stage gate reviews.
Mark Zgutowicz: Thank you.
Operator: Thank you. Our next question comes from the line of Tim Nollen with Macquarie Asset Management. Please proceed with your question.
Tim Nollen: Hi Tim from Macquarie Research, not Asset Management, but I'm just curious Craig if you could give a bit more color on the potential revenue from AI. You said earlier that you expect it to be some kind of a longer term ramp in revenues, but would we see this in a line like paid download growth? I mean would there be a high demand for AI -- for images and for data behind that that people can used to generate their own images. And I didn't say that very well. I think you know to me would that come from the paid download side which has basically been flat quarter over quarter? Or would that come in somewhere else?
Craig Peters: Yes. So, first let me just characterize how we are approaching AI. So we are licensing services to our end customers. Those services have been developed in partnership with companies like India [ph]. We have not pursued to any meaningful degree licensing of our data on a basis that that would generate revenue against that data side of things. So, what we believe long-term that AI is going to be a fundamental tool of creatives and we want to build the business around offering those services versus licensing our data out to third-parties to build services. We fundamentally believe our data will be critical in differentiating those services as we go to market. And so that's the trade that we are making. It’s a long-term trade that we believe is the right one for the business in terms of again owning these services and the end customer relationships in delivering those services to our customers. So, you will see -- over time you will see those results in our subscriber counts as customers subscribe into generative AI services on an annualized basis. You will see that show up into our paid downloads section as they generate imagery from those services and then download that imagery and use it within their marketing and sales and collateral and other parts of their marketing stack. So, yes, you will see those start to accrue through the metrics, but it will take some time for those to have a meaningful. This goes back to the comment, I think Jake -- or a question Jay asked. It's going to take a while for those to be meaningful relative to 95 million paid annual downloads.
Tim Nollen: Right. Okay. That makes sense. Thanks. I'll ask a separate question which is I'm looking your subscription as a percentage of revenue of 54% in the quarter, which was up quite a bit from a year ago, but it was down a little bit from Q3. And I wonder if that is just a normal Q4, kind of, a seasonal trend, it might be some more kind of seasonal related Q4 one-off types of sales that might have actually brought that number down sequentially?
Craig Peters: Yes, we saw a little bit of -- in Q4, we saw a little bit stronger close to the year. A lot of that was through à la carte purchases in the business. Again Jen kind of mentioned the rebound in the agency in Q4, a slight rebound. They tend to buy on an à la carte basis. We also saw some of the strike impacts ameliorate on our business, most notably within our paid assignment business, which is not done within subscriptions. So, those are some of the things that Q4 relative to Q3 took that percentage down a bit? I would say all those were good things though.
Tim Nollen: Okay. Thank you.
Operator: Thank you. And we have reached the end of the question-and-answer session and I'll now turn it -- this also concludes today's conference and you may disconnect your lines at this time.
Craig Peters: Thank you.